Severin Schwan: Good afternoon ladies and gentlemen, and welcome to our Year End briefing. 2014 was a good year for Roche, we achieved our financial targets, we launched important new medicines and diagnostic tests and again we made good progress in our portfolio. Let me first of all give an overview on the numbers as you’ve seen this morning, sales up by 5% in local currencies. The higher end of the expectations, core EPS up 7% is the correct for the pharmacy in the U.S. I’ll come back to this in a moment and a dividend of CHF 8, which represents an increase of 3%. Looking at the highlights of 2014, certainly it’s been a good year in terms of sales growth, pharma up 4%, again very much driven by oncology in particular the new medicines like Perjeta or Kadcyla, Avastin very strong with two new indications cervical cancer and ovarian cancer and we also see very good growth in Immunology -- rheumatoid arthritis or in asthma. Good year also for diagnostics, 6% growth overall clearly outperforming the market and again very strong growth in the clinical sector. As far as the portfolio is concerned I’d like to emphasize our efforts in the cancer immunotherapy space. We have a number of redoubts for our lead compound PDL. You have seen first state and we’ll give you an update this year in a number of cancer types, Dan will cover this in more detail, importantly also here we’ve entered six new agents into the clinics. We have a portfolio now in the clinic of 7 new cancer immune-therapies and the program a broad program of about 30 approaches fairly combine different agents. -- are being pretty busy on the M&A front, let me highlight again InterMune, biggest transaction in 2014 and we brought Esbriet in our portfolio for lung fibrosis. As you know the FDA granted therapy breakthrough state last year, it was launched a bit earlier than we originally expected and I’m glad to report that we’re off to a very strong start with this product. You’ve also seen that we announced an agreement with foundation medicine to take over maturity stake and to collaborate with foundation medicine on the commercial side and very much on the R&D side that really brings us into a new field for us into molecular information and it’s really another step to drive forward our efforts in personalized healthcare in oncology. Let me just say a few words to the Swiss National Bank’s decision to unpeg the Swiss franc from the Euro. This of course has an impact on us as we have over proportional activities based in Switzerland, however overall this impact is manageable as lineated really for two reasons. First of all and it seems to me that, this is almost forgotten in the public debate, the dollar has appreciated by the bit so if we look at Swiss franc dollar relation today, ask to the SNB decision we’ve – up and which is exactly where we were over the last year. And I emphasize that, because the dollar for us is much more important than the euro, we’re much more linked in our cash flows to the dollar than we’re to the euro and Alan will cover this in more detail, so this is very important. And then secondly of course we have the natural hedge because the vast maturity of our cost more than 80% of our operational cost outside of Switzerland, we’ve a full value chain in countries like the United States, in Europe of course and China and Japan. And on top of that and our related financing cost actually also not in the Swiss franc but primarily in the dollar. Again pharma are 4%, diagnostics are 6% we see a continued mixing in Roche’s sales growth over the last quarter and we enjoy good growth across all regions. Also operating profit margins have remained stable on the high level and I emphasized that because we have to digest last year around 700 million sales related to the patent expiry of Xeloda and in spite of that we could keep the margins at about 38%. Now let’s get back to core EPS up 5.2% on a reported basis. We have made transparency this one time effect of the U.S. pharma fee, first of all because it is one off item but also very importantly because all our peers have excluded it from the core results in the first place. So if you compare our results to our peers’ results then actually it’s important that you consider this fee. So what is it about this really a change in the regulations in the U.S. it affects the whole industry and it leads to an advance booking of this product fee which really a tax related to our turnover. This ends that in the past we only have to book it in the year when the sales occur so for 2014 we booked the fee relative to the sales in 2014. Now we have to book in advance that is for the sales in 2015 and as a consequence we have a double charge only a booking charge to actual tax that means the same but we have the double booking of this fee for 2014 and 2015 and of course as we go forward we are back to a normal return. So if we exclude this item then the core EPS is 7% compared to what the methodology which our peers present. Based on the results, we’re increasing the dividend to CHF8 and as you can see due to the exchange rate effect this actually means that the payout that goes up to 56%. We have now about 60 new molecular entities in our overall portfolio in the clinic. We continue to focus very much on oncology as you know, what I’d like to point out is that really the area of immunology is developing very nicely, seeing very good growth rates with Xolair with Actemra, Esbriet had a very good start and we do have interesting compounds coming through in late stage development in particular with lampalizumab and lebrikizumab. As our agenda for 2015 lot of clinic news flow also so certainly have the launch of Esbriet very much now agenda as we go into 2015 both in the U.S. and also in the European Union as we had a level upgrade for Esbriet based on the data. As you know we have filed cobimetinib in combination with Zelboraf for malignant melanoma so we expect to launch it during 2015. As I said cancer immuno therapy is a focused for us and there is a lot of data present in the course of 2015. There is a chance for readouts regarding Gazyva we have interim status to readout particular in aggressive NHL. We plan to start pivotal trials for Hemophilia the ACE910 compound that spends from -- we will see the Phase 3 readouts for Ocrelizumab and there is a number of important launches and rollouts of platforms and tests in diagnostics. Let me conclude on the outlook for 2015, we expect group sales to grow low to mid-single digit. We expect core earnings to grow above of sales this includes the divestment we had in 2014 for new filgrastim franchise based on those results we also expect to again increase our dividend in Swiss francs. And with this I hand over to Dan. Dan?
Dan O'Day: Thank you. Good afternoon from my side as well. I’m looking forward to walking you through the results from the pharma division for 2014. Let’s start with the sales go a little bit into the pipeline the results from last year and then we’ll talk about innovation and pipeline as well. So just to take a little further into the sales for the pharma division this year we had a 4% growth on a constant currency exchange. And you can see here that we had very strong growth in the U.S. really driven by the oncology portfolio driven by the immunology portfolio the ophthalmology portfolio and of course we also had a very good flu season in the United States, which I’ll get to you as well but good underlying growth and I just remind you that predominantly in U.S. as where we’ve the biggest impact on our patent expertise last year in the magnitude of around CHF 700 million that we’ve to offset in the United States that was going off patent after the first quarter, so starting or beginning of the second quarter. And still a very very strong performance. Europe growing to 3% with the austerity measures in place, the volume growth was close to the 6% in Europe again good growth of launched products there particularly some of the newer launched products in oncology, Perjeta, Kadcyla get starting to take ground in Europe as well. Japan, 7% growth again driven predominantly by the oncology franchise in Japan, our colleagues at Chugai and then finally in international we had several different aspects to that story, we had Latin America growing at around 9%, we have China actually returning to growth particularly in the last quarter, the strategic products continue to do well in China and then we had some disruptions in what I call the Eastern Europe Middle East region both in Russia for economic reasons and then also for some of the other countries in Middle East that we had some effects in. But overall I’d say very strong growth over the course of the year, I just remind you as we head into next year, that we’ll also have continued the first quarter effect of Xeloda, for expiry in the United States and as you may have heard Valcyte now has two generic competitors in the United States and we’d expect a similar type of patent erosion that we’ll have to offset next year in growth of around CHF 700 million around the same. So here is the P&L for 2014, couple of points, the sales growth of 4% strong, remember the 340B effect in 2013 was predominantly affected MabThera excluding that underlying demand growth if you like would have been around 5%. You can see the royalties another operating income and the [Neupogen Avastin] line coming in here excluding that, that would have been plus 10%, cost of sales really in line with sales I’d say also the strength of Tamiflu season and the royalty associated with that had a slight uptick in the cost of sales effect for 2014. M&D, we had investments in the Esbriet launch with the InterMune or consolidated into our statement here as well as some distributor changes in the Middle East there. R&D in line with sales and G&A is predominantly effected by the one-time pharma fee in the United States and the PSI from the previous year excluding those two G&A is growing quite modestly. So, overall you see the core operating profit growth of 4% and just for reference if one were to exclude the one-time effects and the effect of InterMune we’d be growing at around 6% or slightly improved margin in the pharma division. On the pharma sales side you see the main growth drivers not surprisingly Perjeta is our largest single contribution to growth overall in 2014 certainly bolstered by the CLEOPATRA data which I’ll come back to. I’m going to talk about most of these other products but just on this slide I wanted to mention of course here you see the Tamiflu season as well, you see Pegasys who is the entrant now of the interferon 3 products clearly particularly in the U.S and in Europe you see the effect there of the decline in Pegasys and people continue to see some decline also this year. Pegasys continue to play a role in the emerging markets in HCV and importantly in HBV still with Pegasys in countries like China and also some countries in Sub-Sahara and Africa. And then you really see the affect here of the full effect of the Xeloda patent expiry. So oncology clearly was the main driver to the business of 5% growth, 20% growth on HER2 franchise which I’ll breakdown in a minute, I just want to comment on that there on Rituxan because excluding the 340B effect you would see a growth of around 5% on the MabThera. Rituxan franchise that are highly penetrated as you know and the indication in markets around the world but we continue to see some growth in the developed markets and also growth in the emerging markets there. Tarceva, the balance between the EGFR positive patients and the wild type continues to be slightly off kill in other words we’re losing a few more patients and in-class competition on the wild type and gaining in the mutant population I think we’ll see that trend continue a bit in 2015. Xeloda you see as well Zelboraf particularly in the United States, we see entrance of competition there, you know with the data we presented at ESMO on cobimetinib that we have a very competitive combination that we expect to be coming to market in the U.S. and Europe in 2015 and of course cobimetinib is a product we’ll looking at in combination with other medicines beyond Zelboraf in our portfolio as well for the future. Avastin 10 years in the market with the 6% growth two new indications this year so we’re continuing to invent if you like or support the utility in cancer patients around the world with the Avastin with platinum resistance ovarian cancer being launched in both U.S. and Europe. Cervical cancer launched in the U.S. filed in EU we would expect that sometime this next year in Europe. Colorectal cancer with CALGB data from this year’s ASCO continuing to support the role of Avastin in colorectal cancer and of course we’re continuing to rollout the treatment beyond multiple lines in many countries. And then the encouraging news of course with the IMELDA trial and in HER2 negative breast cancer where we see some continued support of Herceptin in this study as well for the HER2 negative breast cancer. On the regional side to see I mean in North America we had a 5% growth, EU 3%, Japan 9%, Latin 15% so you see a very good growth across both the ballot in emerging markets for Avastin so good strong year for Avastin. On the HER2 franchise you can see now the 20% growth being more and more driven by the new entrants of Perjeta and Kadcyla in the metastatic study. Just to update you a bit on the market shares here for Perjeta our estimated quarter four is in first line setting in the United States for around 55% and in Europe where we’re just beginning the penetration of launch for closer to 30% area. And Kadcyla in second line in the U.S. were above 40% now and in EU little bit less than 30% at this stage. Remember we’re just beginning to roll these products out in terms of reimbursement in many products in Europe and another markets around the world. I do want to make a comment here and I’ll speak about it later again about the MARIANNE trial. Clearly, we would have hoped for results that showed superiority with Kadcyla and Perjeta in the first line setting what we saw is non-inferiority there as you can imagine we are dig in that data apart and we’ll certainly be sharing that data with you as we dig it apart but certainly by the time as rolls around we’ve got a lot to learn from that I think what that says is you know is one piece of the puzzle of a very comprehensive broad HER2 franchise when we get back within the few slides and it certainly doesn’t take away from if you like the game change in data that we have with clear Perjeta or Kadcyla in the second line and beyond. In fact if anything we were probably supplies in the upside if you like with clear Perjeta. But it is something we have to learn more about. We have to understand what the biology is and securing here in the first line setting and of course we’ll continue to look at that as we go throughout the year but clearly we expect continued strong growth of the HER2 franchise. I will just mention here as well that we expect based upon our intelligence for biosimilars to be delayed yet another further in Europe so we’re expecting the first earliest the biosimilar entry now for HER2 in 2017, for Herceptin and we continue to see good uptake of the Herceptin subcu across many countries in Europe as well. Now outside of oncology I mean we had a very good year for immunology portfolio I mean continued strength in Actemra monotherapy continued uptake of Actemra and subcutaneous as it begins to rollout across many markets. The Xolair under CIU indication that product growing now it’s greater than 20% year-on-year basis as well as Actemra greater than 20%. Good growth with Pulmozyme as well and it’s not even broken out here but just to remind you Actemra sales account for about $1.3 billion for its use in rheumatoid arthritis as well. So clearly this is an area that we continue to innovate, continue to drive new data, new formulations in and it certainly supporting our overall growth efforts. Lucentis ended up with growth this year in 2014 predominately driven by the DME indication and continued market expansion. We saw some of that market expansion just through new patients and some through some market share decline in Avastin. We would expect in 2015 to have increased competition certainly in the DME area and also in the AMD area. We also expect to have the treatment population continue to grow there. But I would say that the outlook for Lucentis is rather we’ll be much more conservative about this in 2015 and with this competition we would expect to flattening possibly even the slight decline as we go into 2015 with potential for growth again in the future. I’ll just mention here that we do have the breakthrough therapy status for diabetic retinopathy with the PDUFA date on February 6, which is again is a subpopulation of that DME area as well but I would be a little bit more cautious about Lucentis as we forward. On Esbriet, we’re off to a very good launch, we’re not going to see that yet in the figures and numbers and I’ll explain that but we have a fairly large number of patients that are now lined up for in our reimbursement support system in the United States, we’ve more than 1300 patients that have been enrolled in the expanded access program which we converted to normal commercial paid drug throughout the course of the first quarter of next year and we’re also processing the patients through the reimbursement system. So I’d expect that you’d begin to see towards the end of the first quarter but more completely into the second quarter the true demand of Esbriet. What I can tell you is that, the product is being well received by the specialist I think the profile very strong from the standpoint of the date of the ASCEND trial and the [pools] mortality data with the capacity trials as well. So, we’re off to a good start there, definitely in the United States and in Europe we’ve now the label change which reflects the ASCEND trial and provides I believe even more value for patients across the European countries where we have launched this as well. So, I’m focused on the InterMune integration which is going well and focused on making sure we get this product to patients in a very efficient way over the course of the next many quarters and look forward to update you on that as we perceived. So, that’s on the result side, let me turn a bit to the innovation, starting with one of our scorecards here. Really, overall I think we have some programs that the data did not turned out as we’d expect but we had many programs that we’d very very encouraging data on and overall I think we had a strong year in the portfolio when you balance everything. On the Avastin side, two new indications two new subcutaneous formulations in both Actemra and MabThera’s Subcu were launched, you can see the number of Phase III starts here Bcl2 in Hematology obviously the PDL1 in the OAK trial the alectinib, Etrolizumab and ulcerative colitis and also Lampalizumab as well as Kadcyla and Neo-adjuvant. I do want to talk a bit on this slide as I don’t have another slide in my presentation about gantenerumab as well, you saw just before the holiday that the SCarlet RoAD trial so this the trial and the Prodromal patients we stopped that program based upon the futility look that we did in December and because it’s also futility look, we’re in the process of really digesting all of that data, if we were and end of study report we’d have more of the data in-house now and processing it but it’s very clear that we’ll not proceed with gantenerumab in the Prodromal study and we’ll certainly be evaluating whether or not we continue to proceed with the Marguerite RoAD study in Mild patients but we need some time to process this data on the gantenerumab side. A couple of things on that I mean first of all we knew this is a high risk program, Alzheimer’s continues to be an area where the science is evolving and developing I believe we’ll learn a lot from this trail but it’s also one that has a huge unmet medical need and we continue to be committed to this both through looking at our other programs in research and development and most notably of course the MAO inhibitor this in the Phase II and then crenezumab watches under discussion right now about how we move that forward within the portfolio I believe a number of things we’ve to still consider we’ve discussion still going on with regulatory authorities, with experts, we’ll be reviewing the SCarlet RoAD data but I remind you that crenezumab and we haven’t made a final decision on that yet but crenezumab is a different molecule than gantenerumab. It affects the mechanism of plucking more ways than gantenerumab did and it has a different, we think a different dose response profile. So all of that is being evaluated but I did want to put to gantenerumab information also into perspective for all of you as well. Good, so that leads us to the pipeline snapshot at the end of ’14, you’ve seen this I think the robust portfolio on oncology, many new Phase II that will be transitioning into Phase III this year, immunology and ophthalmology were off to a good start and the lampalizumab recruitment, lebrikizumab recruiting also very well, etrolizumab began recruitment on that side and we’ll have the read out on ocrelizumab this year. I’d just point out that we haven’t officially put ACE 910 for Hemophilia into this chart yet but we’re expecting to be moving that into the label enabling program this year and certainly expect that to be added soon and have a slide on that coming out to just emphasize that a bit. So, what’s going on with HER2 this year and what can we expect I mean clearly we’ve reset the standard of care in first line metastatic and second line metastatic cancers with Perjeta and Herceptin combination we can file as you know. Again still evaluating the MARIANNE trial in first line metastatic breast cancer to see what all the data says and what non-inferiority means in that setting for patients with first-line metastatic cancer. But I remind you on the adjuvant side we’ve got APHINITY which is the first adjuvant readout trial that we’ll readout next year in 2016 we’re certainly encouraged by the results in CLEOPATRA and also the Neosphere trial and the affecting Herceptin, Perjeta but obviously we need to see that readout. Shortly after that we’ll have a readout of Kadcyla plus Perjeta in the neoadjuvant setting and we began the enrollment on the Kadcyla programs in the adjuvant setting as well. Obviously we’ll be evaluating the MARIANNE data to see if there is any data or information there that would be important for us for ongoing trials here but we remain firmly committed to advancing both in neoadjuvant and adjuvant therapy a new standard of care. And then combined with that you see the biosimilars with their expected launch delay predominately I believe because of the recruitment challenges in that area and you see the clinical data this year will get PHEREXA in second-line on Perjeta and we’ll have the final release of the Neosphere data at ASCO as well. Quick overview on a very comprehensive hematology program as well but you can see that Gazyva we release GREEN study of course at the end of last year and will be in the process of solving that but then you see as well we have GOYA, GADOLIN and GALLIUM that we’ll begin to readout over the next couple of years. We have -- utility and we have an interim readout in particular in GOYA and aggressive NHL throughout the course of 2015. But what you see here is basically our ongoing strategy which is to replace the standard care in all aspects of both CLL and aggressive in non-Hodgkin's lymphoma and the first step is of course to replace the CD20 background with Gazyva versus MabThera but then you see on top of that we have in the clinic right now several programs that look at the BCL-2 inhibitor in combination with Gazyva in indications going from CLL to NHL and then you see also the entry of the 79b the polatuzumab in combination with Gazyva and Rituxan. So we continue to have a very complete program here I remind you that this is a very competitive area on the one hand, the competition is in the areas today where MabThera is not either indicated or not so strong mantle cell lymphoma or relapsed/refractory but we understand this is a very competitive environment which is why looking the combination therapy with the new CD20 backbone is going to be very important. And you can see that we also have agreements with other companies that are beginning to use Gazyva as the backbone. So it’s been announced in the second half of last year that Pharmacyclics in AbbVie are also looking to use Gazyva as their new CD20 backbone in some of their studies as well. And again here we see the biosimilars being delayed out in 2017. San Antonio we showed you the early data but encouraging data on triple-negative breast cancer with PDL1 this is in PDL1 positive patients we saw an overall response rate of around 33%. We’ll be updating this information as the year goes on, but we’re certainly encouraged by the early results for PDL1 and what is a very recalcitrant patient population. So that was the most recent data since the third quarter that I wanted to make sure I updated you on. Now I want to spend just a bit of time on this slide and to walk you through the next couple of slides to give you an update on where we stand with our oncology program. The first one just to remind you the news we had in 2014 of PDL1 was in bladder, was in renal with Avastin and of course triple-negative breast cancer as well as progressing the lung program the 2015 will be a year where we really see the results of that lung program in many of different aspects and we’ll report out you on that. But the purpose of this slide is just to show the comprehensive nature of our immuno oncology portfolio and just to orient you to the slide I mean we brought forward into the clinic last year in 2014 six new immuno oncology agents and those are represented in green. So we now have seven with PDL1. What you see in orange are the pre-clinical development items many of which will we would expect we’ll move into human sometime in 2015 as well. And then very importantly is to look also with the black which are obviously established therapies that we have targeted therapies within our indications. But you can see and by the way the two offers are both in place of Roche either Mellman and Chen but you can see that we’ve got an ability a unique opportunity to combine many, many agents around this immune therapy circle. And of course it’s terrific news to see some of the early encouraging work with monotherapy with immunotherapy agents but we know that there is the number of patients that respond and the number of patients that have long term double response is very limited today. Particularly when you get into many different tumor types so we firmly believe that the answer is an comprehensive approach, the answer is being able to find the very best combinations, being able to dimensionalize those tumor in a very comprehensive way and then decide what types of agents can work together best in the tumor macrophage and in filtration environment to be able to get the best result. And this is what we see as a snapshot basically at the end of 2014 on where we stood and a number of things I want to point out here I mean you’ve the addition since quarter three so we’ve got PDL1 as a monotherapy and triple negative breast cancer, we’ve initiated additional immune doublets of PDL1 with CD40 and OX40 and CEA IL-2. We have two new enemies that are coming in the Anti-CEA-CD3 and then in license the IDO inhibitor and then finally we started the triple combination of PDL1 Zelboraf and cobimetinib for melanoma. So, we now have 25 disclosed combinations in cancer immunotherapy in the clinic obviously a combination of both immune doublets and targeted therapies in immune. So that’s a static point in time but I want to try and walk you through as this is never static and it’s always moving and that is that if you look at the end of 2014 you see the same picture in a slightly different way, but in blue here what you see is the PDL1 monotherapy trials or you see in blue the PDL1 trials that are connected with the non-cancer immunotherapy. In green, you see the novel cancer immunotherapy trials and in blue green you see the immune doublets. So, just to remind you I mean at the end of 2014 we had one Phase III running which was the OAK trial and we had four trials in Phase II and 16 trials in Phase I. Now we just want to bring you into our world a little bit because we made a lot of decisions already to begin and to move this portfolio and these are the decisions we’ve already made, it doesn’t mean that it’ll be the comprehensive look at 2015 but just so you know and of course we’re for competitive reasons we’re not disclosing each one of these trials from a detail standpoint but I wanted to give you a sense for the quantity that we’re talking about. So, we’ve already decided to have at least 11 different Phase III PDL1 trials running in 2015 in fact second line bladder Phase III trial just started first patient in January. We have the breakthrough therapy designation for bladder cancer and these 11 Phase III trials will cover 4 different tumor types and throughout the year of course you’ll be exposed to exactly what trials these are. We have several new Phase I trials among them we’ve three immune doublets and I just want to report that the CSF-1R combo also had its first patient in January. And then the other thing that you see on this slide is in the dotted line boxes, you’ll see those are the expected readouts in 2015 so obviously as the readouts coming from further popular our second line lung cancer trials as well as renal and bladder first Phase I, Phase II as well as the variety of Phase I trials as well. So, this is in our opinion incredibly comprehensive program in immune-oncology and again we’re continuing to innovate and find the ways forward. One of the things I want to bridge to now is obviously in order to get these combination trails I talked about this before it takes I think knowhow and it takes data. On the knowhow side we’re pleased we’ve some of the various best experts in the immune oncology in the world that resign within the Genentech Roche Group and on the data side we continue to grow everyday but one of the things that we were very in threat about and one of the key interest we had in the collaboration with Foundation Medicine was to further expand our knowledgebase and our database in oncology in general but then also in immune-oncology in particular. So, I’m very excited about the collaboration with Foundation Medicine I mean it is a different business than what we’re in today in pharma and diagnostics and yet it’s complementary. It has long term strategic opportunities for us and optionality for us in terms of driving patient care but it also has short-term benefits for us and then I just decided to emphasize just some aspects of the collaboration here but on the one hand we now have a comprehensive tumor analysis that we can participate all of our Roche clinical trials in overtime into the Foundation one and Foundation one database and this will also allow us to also look if you look at the real world data the Foundation Medicine is developing and creating out there in a longitudinal way so even a more comprehensive look at our portfolio and hypothesis that we might be able to create for both new medicines and also combinations but in addition to that we saw unique expertise in Foundation and our Roche and Genentech’s experts to develop and partner on two very important new R&D platforms. One will be in the field of immunotherapy where we’ll be developing an RNA based immunotherapy comprehensive platform which will allow us and give us more data and information to make good decisions around immunotherapy and the second one is in blood based continuous monitoring platform which we clearly feel is going to be fundamental to the future of cancer care, enable us to identify when resistant patterns may developed earlier in patients so therapy can be changed and switch. There are also commercial aspects of this agreement as well but I do believe that the strength of both companies coming together will enable us in cancer to make even better decisions and make a difference to patient care. So shifting from oncology I just want to make a point about the 8,9,10 you probably saw the data at ASH, we’re enthusiastic about this mechanism about the early Phase I data that I don’t have here but you’ve seen it. And just again a unique mechanism of action and the targeted product profile will clearly have less frequent dosing we’d be able to be provided subcutaneously and very importantly given the number of patients that have inhibiting antibodies because this is by specific engineered antibody we would certainly not expect not we’ve seen the induction of any inducing antibody. So we will be working to bring this program ahead into a label enabling phase in 2015 and updating you as we go. So finally before I turn over to Roland I just wanted to have a quick outlook on the 2015 some of the key news that we would expect clearly on the regulatory side you can see we expect additional data from Avastin, Lucentis, alectinib and of course the cobimetinib and Zelboraf combination and potentially more trials depending on the outcomes. And on the readouts we would expect Gazyva the interim analysis on the GOYA trial to readout we expect of course ocrelizumab and both RMS and PPMS which are anxiously awaiting and then the PDL1 Phase II second and third-line non-small-cell lung cancer in the Phase II and bladder as well. And on the Phase III start side the anti-PDL1 in bladder as I mentioned already started the first patient in January. Anti-PDL1 in three different new tumor types overall nine trials will be announced over the course of 2015. 8,9,10 will start pivotal trials in 2015. We’ll have a new trial in etrolizumab and one of our PI3 kinase inhibitor this is the mutant specific PI3 kinase inhibitor in tyrosine. So another exciting year I think for the portfolio as we head into next year and with that I will turn it over to Roland to cover the diagnostics. Thanks for your attention.
Roland Diggelmann: Thank you Dan and very warm welcome from my side as well, happy to present the diagnostics results. As we can see here broken up by segments, in overall it was a very good year for diagnostics. It was a good year from a sales perspective. It was also good year from an innovation and product launch perspective and I’d like to take you through some of the highlights through the course of this presentation. What you can see here is of course is the engine, professional diagnostics going at 8% accounting for more than half of the division turnover. So doing very well. If we you take into consideration here as well molecular diagnostics and tissue diagnostics so all of the clinical laboratory diagnostics growing at 8% I think this is a very good result I think this outpacing the market as well. And in the world of diabetes you can see diabetes growing at 1% in continuously challenging environment but against the market that for the first nine months was growing negative at the bad minus four. So, clearly here also outpacing the market. The geographic growth distribution, strong growth in the emerging markets APAC, Latin America and also Middle East. So, good growth in the E7 and China really pulling here, this growth was a 23% surpassing or exceeding the CHF1 billion mark for the first time in 2014. Also good growth especially relative to the markets in EMEA and in North America was 4% each. The P&L and allow me to take you through the line items here where you can see on the top of course the 6% sales and then on the bottom the 2% core operating profit growth, now how does that translate and where are the one-offs and the special effect. Take you to the cost of sales line where you can see here of course the some pricing impact what you also can see is the continued investments in our platforms. We have grown our platforms by about 10% we continue to invest in the future growth of the platforms and along with fact in the engineering and servicing capabilities. We’ve also had the impact of the VAT which we flagged last year as well which was a value added tax credit that we were given in Germany for diabetes care and this of course has an impact on the 2014 P&L. I’d say discipline spending on the M&D and R&D line while we’re still continuing to investing 10% of our sales in R&D and then on the G&A line if you actually exclude what also Dan mentioned on the PSI impact actually a moderate growth on the G&A line as well, so if you then account for these effects onto the core operating profit excluding the PSI would be 5%, core operating profit gross excluding one-time effect of the VAT is 8% leveraging of the core operating profit. Some other gross drivers and I’ll take you to some more highlights here starting with Professional Diagnostics I have another slide later in the deck here on this. We continue to see good growth in especially immunodiagnostics. In Diabetes Care, I would like to point out that the more innovative products as you can see here the Accu-Chek Mobile for instance growing very nicely. So indeed there is still innovation potential in this business as well, which is positive. On Molecular Diagnostics, I’ll speak a little bit about the cobas 68 and 8800, but where you also can see is the growth of HPV following the FDA primary screening approval and the continued penetration in many other markets than the United States, 49% growth on HPV. And then good growth on Tissue Diagnostics as well in advanced staining, but then also on the continuous development of companion diagnostics. Serum work area within Professional Diagnostics accounting for 42% of the divisional sales and you can see here again good growth across the different geographies. 16 years in a row now that immunodiagnostics grows at a double-digit rate. And this is founded very much and our strategy is providing on one hand the best instruments, the most efficient instruments and then the broadest test menu in combining these two. And literally what we can do here is configure any lab low, mid, high throughput requirements with our module assistance and automate the laboratory process again rendering our customers more and more efficient. We’ll also continue to honor this demand by investing in the infrastructure. We expect that our reagents demand will too fold in about the next seven years, so we’re building up an extra and first manufacturing site in China. So this is a very specific investment here to continue to fuel or support our growth. And then I mentioned the menu, the importance of having a very broad menu and having a different shaded and complete menu to continue to drive in particular Professional Diagnostics. This is one example on Preeclampsia of where we also see the diagnostics testability moving from pure diagnostics into more of a prognostic predictive diagnostic system. Preeclampsia here is one example with the claim extension, which now allows us to actually extend the claims to about 20% of pregnancies for the testing of this particular risk of Preeclampsia. The most important highlight in terms of product launches was in Molecular Diagnostics, the 6800 and 8800 lines. Two systems based on the same platform which will serve the high and very high throughput Molecular Diagnostic labs. We believe this has the potential to literally transform the way Molecular Diagnostics is performed. There is a much higher throughput than everything that’s available on the market on one hand. And on the other hand, these systems have a higher degree of automation and also potentially, the potential actually to combine the sample preparation with the analytics literally putting two laboratory space in a hospital together or in a particular laboratory. So automation efficiency here also and we continue to drive this strategy forward. External innovations that we were able to bring in house was the acquisition of IQuum and with that we’re entering to the Molecular Point of Care. You can see here a desktop device which is providing the ability for PCR reaction on the desktop device, so very exciting, a new market for us to enter. And you can see also the respiratory panel for which we already have approval by the FDA so Influenza A/B, Strep A and we’ll continue to build this respiratory panel and then move into more of the other panels possibly. MRSA which is in the pipeline so the microbiology any hospital acquired infections and if you think of the point of care being really important if you can then test in a ward, at a bedside or wherever. And we have also filed the CLIA waiver with the FDA which will then allow us to go into the physician office lab which wouldn’t require qualified lab personnel to operate this desktop instrument. A few words about sequencing in the strategy in sequencing. What do we intend to do, where do we continue to invest in the sequencing. First of all, we believe sequencing will complement what’s available in diagnostics today. It will obsolete certain elements that in the majority of its applications, it will complement diagnostics. And we’re uniquely positioned being the world leader in Molecular and PCR Diagnostics and also the world leader in Tissue Diagnostics, so what we see sequencing as an opportunities to provide a very comprehensive diagnostic solution for our customers. How do we intend to do this and if you look at sequencing what it is today, still predominantly used in the research setting and as they move into the clinical study we’ll be very important to be able to provide end-to-end solutions just like we do in the rest of the diagnostic space. So, here you can see the flow on how we intend to develop a complete and comprehensive solution from a sample prep all the way to a data analysis and reporting and you can see at the bottom, how the different acquisitions that we made fit into this end-to-end concept and you can also appreciate the fact that Foundation Medicine here gives us another very important opportunity going forward. So really building a concept over the next years will be the key and this where we see how we build this solution to also be able to differentiate sequencing in the future. One element, [indiscernible] was a content to provide which is non-invasive prenatal testing, a very exciting area and that did provides good growth on one end and that it is certainly a flow that will continue to expand and where the current medical practice is the amniocentesis is actually invasive as higher risk and much lower accuracy of the diagnostic. So here a very interesting approach and the other part of it that is also interesting is, it is platform agnostic, the way it works and it will provide us with some sales already in 2015. So, a quick snapshot back in 2014 has been very busy year, it’s also been the successful year in terms of launching products 14 out of 15 and I think I touched on the highlights here and what is going to continue to fuel our growth. And equally 2015 will look to be a very busy year as well, 17 product launches planned from instruments to assays and continuing along the same strategic lives. Just point out a few, you see at the top the cobas c 513 which is going to be dedicated analyzer for HbA1C so that really follows the continuous growth of diabetes and that also continues to grow some change in guidelines from government and support for this testing. Then in the laboratory I’d point out the cobas 8100 Version 2, which is allowing us to continue to invest in the efficiency and workflows in the laboratories. This is the pre and post analytics which will be directional for the first time, so processing samples back enforce within the systems. I’d also like to point out the VENTANA HE 600 which marks an important milestone for us and the comprehensive entry into primary staining. So a new instrument generation there and of course on the asset side continuing to building up on the molecular platforms, fueling the 6800 and 8800 of course and then what you also can see there on the genomics and oncology the EGFR plasma test which is liquid biopsy which is again pushing the frontiers and providing the molecular testing on the basis of plasma. So a very busy year ahead and here some of the outlook in terms of how we will continue to invest for future growth, continuing the momentum on the professional diagnostic side especially in serum work area, continue to expand the penetration of the new platforms, 6800/8800 but also the ones that you’ve seen the new ones to come and then of course significant investments in the ongoing development of the sequencing platform and sequencing solution. Along with that, the continued adjustments to the market environment to changing in market environment in diabetes care and last but not least the early and ongoing investments to strengthen that already leading platform or a leading presence I should say in the emerging markets. So with that I thank you for your attention and now hand over to Alan for the financials.
Alan Hippe: Perfect Roland, thanks a lot. Roland talked quite a bit about 2015 and while standing here and talking here about 2014 today feels a little bit awkward because we’ve done so many things already in 2015 and so on one hand I think together we stand I think that’s a pleasure to announce our intention to launch and offer – majority and Foundation Medicine and the other point certainly is the Swiss National Bank, Severin talked about this and that kept us busy a little bit and at the beginning of the year. So, quite some things we’ve to do I think the best point about that is for me when the swing was announced on January 15, certainly my first thought was about the dividend. The dividend in March to be paid in Swiss francs and my concern was is it really locked in so I called my treasurer Andreas, Andreas said, Alan it’s all fine, we have locked it in Swiss francs, we’re fine. And what’s really a big – imagine. Good, with that let’s go back to 2014; I’m not talking too much about the challenges in ’15 already. There quite some stuff to do in ’14 and how does it look like. I think really Dan, Roland, Severin talked about the sales development which I think is great here was up 5% in the constant rates and core EPS grows plus 7% excluding the U.S. pharma fee and please let me clarify here, certainly what the IRS did, I think they really released that wording for the legislation in Q3 2014 and you know what have happened. I think the industry looked at the wording came with an interpretation, we were included as you can imagine. And in fact the conclusion was that when we have sales in 2015 but in fact the liability occurs one year before. So what happened is really we had to double charge coming from that and we have to book it twice if you like and in 2014 that’s what we have done. What we exclude here from our numbers is certainly just a piece of hot air, so that needs the double booking. So what we pay for the U.S. pharma fee is certainly in the numbers and normally in. So the 202 million you have seen that number I think that’s what excluded. The normal pharma fee that we’re paying is certainly included in the results. And from a cash out point of view no change at all the cash out pattern is not changing with that double booking it’s really a one-time effect. I think core operating profit up 3% plus 5% excluding the pharma fee, I think what is really great is the operating free cash flow with ‘15, 0.8 billion not a lot of companies in our industries which can really provide such a number. As you see there is a slight decrease in constant rate of minus 2% and that’s really coming from the higher investments that we have taken and one element to that is really manufacturing. I think we really have to increase our manufacturing base due to the great volumes that we can say the result out in the market. And the second point is really about our sites, so investing really into our sites around the world. When you look at the financial results quite positively 32% improvement and we have sold some equities to Roche Venture Fund, we had some investments. And in fact you say did we sell it well others sold it and we had the participation in it and we benefited from that. So on one hand that’s been Alios and BioFire on the other hand that’s been bio, I will talk about that later on. And then we have increased net debt due to acquisitions 7.3 billion more in net bet on the balance sheet, I’ll come to that. And then the group currency exposure talked about as the Swiss National Bank already and the decision, I think we have a solid natural hedge 82% of the cost base outside of Switzerland. And here we go, here you see, let me first say, we have disclosed that pattern in the slide already in 2011. In 2011 we had 20% of our operational costs in Swiss francs; today we have 18% that’s what you’re seeing. You see the great natural hedge that we’re having in the U.S. You see it really in Europe and you even see it in Japan. So really regions where we have complete value chains and that’s certainly helping us. And to mitigate that effect even further, I could mention while we have the financing costs and the interest expenses on top of that which are predominately paid in U.S. dollars. I think we have 25.7 billion gross debt on the balance sheet, 20 billion is in U.S. dollars and in average with high coupons compared to the rest of our debt. So I think that comes on top of it. Let’s look at the performance, and before I talk about the performance itself and lead you through the line. I think the major point to make here is look really at the impact of the exchange rates. You see here in this blue column at constant rates and you see here really the difference to the reporting in Swiss francs. And what you’re seeing is in sales and in core operating profit we have a difference of 4 percentage points negatively. But you see the more you go down and the especially when it comes to the cash flow, I think this is narrowing. So there is an impact on the cash flow no doubt about that, but much smaller compared to what you’re seeing in sales and in core operating profit. Let’s go through it, I think sales mentioned that already core operating profit I have mentioned. You’ll see quite a nice uptick in the core net income and that is certainly triggered by the divestments from the Roche Venture Fund, so really from the financial results, so that’s one element. The other element of financial result is certainly the reduction of interest expenses. That translates in the core EPS growth. And then you go to operating free cash flow and it was the slight decrease compared to last year here 600 million more of CapEx. As I’ve explained before and then you go through the free cash and the free cash flow pretty even slightly an uptick compared to last year and here certainly Alios and BioFire are coming to play once again and this also lead to cash ins. When you look at the P&L, it might be a little bit of longer story. The 5% sales growth you have seen and then you see the royalties and the other operating income and you see the 33% increase. 33% increase is certainly based on the divestment of filgrastim franchise 428 million which came in here. And the other point is really the royalties which have increased quite nicely with 100 million Humira, Lucentis, Eylea all that really we benefited from that roughly a 100 million increase that you can see. Then we have the cost of sales, when you look at the cost of sales uptick of 6% here first point is when you look at the gross margin, when you just take the manufacturing costs pretty stable 81% around, little bit higher than that, so that’s pretty stable. So where does this, really the increase coming from while it comes from higher collaboration expenses. You have seen the increasing solar for example. And the other point is really the termination cost for the clinical trials for MetMab and Bito. When you pay exact together, MetMab and Bito minus 82 million which really reflected in the cost of sales increase. You look at MMD, MMD was an uptick of 6%, here an increase of 6% here InterMune comes into play. InterMune is minus 59 million in that line, so really push that a little bit more and then we have bad debt expenses of roughly 100 million. When you take that together that explains 2 percentage points of this 6% increase. When you look at R&D, R&D pretty much in line with sales and looking pretty okay, InterMune was a minus 40 here and also we have seen quite a higher momentum coming from Chugai with plus 5%. And then G&A and I totally agree when you just take a first look, it looks horrible was an increase of 38%, but let me explain this. First point to make is, there are two major effects; one is the past service income effect last year roughly 300 million positively, that’s a base effect from 2013. And the other point to make is really is the business taxes and the excise tax or let’s say the U.S. pharma fees one element of that roughly 270 million. And that explains 570 million of an absolute increase of 665 million Swiss francs. So what’s the rest? What’s this 95 million, there’s roughly 100 million additional increase. Chugai was 24 million; it is the acquisition with 25 million including InterMune with 17 million. And then on top of that, we have launched a program in procurement, where we really improved processes and systems in procurement and that really contributed minus 20 million to that line. Good with that, let’s look at the margin. I can do that quickly. I think result the U.S. Branded Prescription Drug fee in 2014 pretty stable. You see a slight downwards trend in diagnostics, which is basically driven by the past service income, so really base effect from 2013. And then the VAT and I think Roland explains that in a very nice way. Good, net financial result. The core net financial result I should say, you’ve seen improvement of 583 million Swiss francs. And you’ve seen the net income from equity securities this is Alios and BioFire the impact will be coming from the Roche Venture Fund. You see the interest expense improving 136 million and that includes already a minus 23 million from the InterMune financing. Let me mention here at this point, as you know, we have really had a position of gross debt at the year-end of 25.7 billion, mentioned that already. End of the year 2013, we had 18.6 billion gross debt; we will pay less for the 25.7 billion compared to the 18.6 billion. And I will come to that because we have done as you know a restructuring of our debt in the year 2014. Good with that the quick comments on the balance sheet. The balance sheet has changed and even quite significantly. And what you’re seeing is really the cash and marketable securities pretty stable which is good. The other current assets go up by 2.1 billion and the major impact here is inventories. Inventories go up by 1.8 billion and this is a little bit surprising. One major element here is Esbriet. As you can imagine I think will be board InterMune and then really we had to allocate in fact the price, the purchase price to the assets and we had to do that to the inventories as well. So we had really an inventory fair value uptick of significant, so 800 million is just coming from Esbriet alone of that increase. When you look at the non-current assets go up 11.5 billion and 2.9 billion in goodwill and 8.9 billion in intangible assets, certainly driven by the acquisitions and driven by InterMune. Current liabilities go up by a bit here, as you can see. Major points here to mention is our commercial paper program and the short-term debt which has increased by 4.2 billion and when you look at the non-current liabilities two elements to mention here of the increase of roughly 5 billion here on one hand 2.9 billion from the long-term debt and 2.9 billion from increased pension liabilities driven by decreasing discount rates. Good, equity pretty stable 29% equity portion at year-end 2014. Swing back to the tax rate and to the P&L, tax rate increased quite significantly from 22.7% to 24.1% relatively simple explanation here. As you might remember in 2013 we had R&D tax credit in the U.S. twice, also point because you know this tax credit is existing for a long time and gets approved basically every year by the regulator so to say. And we had quite a switch in 2013, so here we had the impact twice in ‘13; we had it just once in 2014. One-time impact of the R&D tax credit is roughly 70 million. The other point is really higher core operating profits in the U.S. which certainly is another uplift, because we have a higher tax rate in the U.S. compared to our average group tax rate. Good the cash talked about that quite a bit already and pretty happy with roughly 16 billion that we have achieved in 2014. You see pharma pretty stable despite the fact that they have really invested quite significantly and the CapEx went up. And then you see the diagnostics division where we have a reduction of roughly 500 million and here on one hand the 250 million increase in inventories, pretty much based on growth in the emerging markets. So we see that really materializing positively in 2015. Same applies to receivables 100 million more receivables because the sales were pretty strong at year-end. So that’s another point, which was also materialized in 2015 and then 100 million higher CapEx as mentioned before. Good, accounts receivables in Europe further decreased, I think that really goes in the right direction and so Swiss National Bank made one decision, the ECB made another decision and I think we do well with this program and with this activity. Net debt from 6.7 billion end of December 2013 to 14 billion at the end of 2014, so ‘13 to ‘14. I talked about the operating free cash flow already, you see here the minus 10.5 billion dividends for 2013 paid in 2014, the taxes 3 billion, treasury activities and then you see certainly the business combinations of 9.6 billion that has been the cash out for the acquisitions that we’ve done in the course of 2014. What does that mean to our ratio and I’ve talked about the assets already, talked about the net debt. I think you see really the increase in the balance sheet and you see really the net debt on total assets ratio now is at 19%, above our range that we’ve given but you know the 15% is perhaps not so meaningful whereas so 0% is very meaningful to us. So I think we feel very comfortable now with that number. Debt maturity profile gives me the opportunity to talk about the debt restructuring. You see that we’ve really stretched out but our maturity is till 2044 and you know in the debt restructuring we bought back $1 billion and re-launched that 10 years even 30 years as it now materializes in 2044, and we’re able in U.S. dollars to decrease the coupons quite significantly. Should give us a saving on an annual basis over 20 years between $30 million and $40 million when it comes to interest expense. Currency, the currency impact, this is 2014 and when you just look at 2014 you see really the currency impact at year-end minus 4% on sales, percentage points on sales I should say and minus 4 percentage points on core operating profit and minus 5 percentage points on core EPS. And you see really I think quite a match between core operating profit and the core EPS impact. But okay, I think these are the old times I know and you might be more interested how is it going to look like in 2015. And before I take very much interest, let me remind you on a couple of things. The first this is, I’d like to remind you on 2011. 2011, we had huge impact from currency volatility and we had 11.8 percentage points impact on the sales growth, you might remember we had in concentrates about 1% growth and then when you look really at Swiss francs at minus 11% roughly, so quite an impact. And we had even a minus 15 percentage points impact on the core operating profit. At that time that represented roughly 5 billion for sales and 2.5 billion for the core operating profit. So it’s not like that’s a situation we’re facing at the moment is really, really outstanding. So what did we do? As you know based on these sensitivities that we have over here, these are standard sensitivities that you’ll find in our finance report. I think on Page 32 when I remember it well. So that’s really the standard we’re giving every year, you can do your own sensitivities but we ask ourselves should we come up with something, which perhaps helps you to understand it a little better. And you know what we’re normally doing, when you look back on this slide in fact what we’re doing is we say okay at half year for example. We’re taking all the currency rates at half year and project them until year-end and then give you an idea what the currency impact would be if all the currency rates remain the same until the end of the year. So, having said this, what did we do? We took the average share of the currency rates from January 1st to January 27th yesterday, took that average and that led into currency rates and we kept these currency rates until the end of the year. So that’s really how we handle it, I’ll give you then the currency rates here in a second. Let me first say what would be the impact? The impact would be on sales 6 percentage points negatively and it would be on core operating profit minus 9 percentage points, staying basically on core EPS, you see that it’s translating normally pretty well on the core EPS as well. What would be then the rates? So if you can just look it up I think for the U.S. dollar it would be 0.9, for the euro it would be a 1.02 and for 100 Japanese yen it would be 0.76, all other currencies would be around minus 8%. Let me then say for the U.S. dollar what would be the change here compared to year-end average rates 2014, minus 1%. When you look at the euro minus 16%, and when you look at the Japanese yen minus 12%. I’m not saying, this is the scenario, you should believe in, currency rates will fluctuate and it will surely be different but it’s just a scenario to give you a feel what the impact could be and that should help you to come up with your own opinion, how the year-end could look like and how much it will be effected by currency rates. With that thanks a lot, let me say one point here about the outlook Severin has described it, we have excluded here the sale of the filgrastim rights, there was an impact of 428 million the core operating profit and in the net income of a 335 million net of tax. With that we’re happy to take your questions. Thanks a lot for your attention.
Severin Schwan: Thank you, Alan. Before we move into your questions just a logistics update. I suggest that we have another 10 minutes or so here in the plan and then there are three breakout sessions. One with Alan and myself, we stay here in this room, there is a second one with Dan in avenue rooms, and then Roland for diagnostics. At 5 o’clock we then switch the groups, so you can either stay on in the group you have chosen or you got to second one, so that means as you can go for two groups out of three if I get that right. And we close sharp at 5:30, Dan has to leave to the airport but we do have afterwards to meet in the more informal manner at 05:30. Sachin, you start up with the first question.
Q - Sachin Jain: Sachin Jain from Bank of America. I’ll kick off with I guess regulatory guidance question. So earnings guidance ahead of sales excluding the 428 just a very broad question on where do you see the earnings leverage coming from through P&L predominant operational, probably financial any color you can give on that? And secondly just wanted to clarify the various one-offs, you’ve clearly excluded the 428 filgrastim, but have kept the excise fee was the biggest challenge in the base. So is there any operational leverage we see in ‘15 the lack of that one-time? I guess there are couple of other charges that are kept in the base, you’ve mentioned a couple of them but 100 million in addition in bad debt charges in the medical tax charge. So that’s financial. Two product questions; one crenezumab. Dan you talked about dose ranging I know you started a new dose range in Phase II. Any color on how much higher you’re taking the dose in that. And then the final question on IO, very competitive monotherapy in lung, do you have any FIR and Poplar interim date in house yet that you started discussing with the FDA.
Severin Schwan: Perhaps I can start at off on a high level regarding the outlook as you know we’re not giving detailed forecasts on margins. But on your very principal question where does the leverage come from? Is it in the operational or in the financial section and the non-operational section? You have seen that we had some one-off items in the financial section with income from Alios and BioFire by the Venture Fund. This was a pretty extraordinary income that’s not something you can count on. So we do not plan for that as we go forward into 2015. And as a result of that you should not expect any leverage but on the contrary a negative effect on core EPS as we go forward from the financial side. So I’d like to add on a very high level and perhaps Dan as you present 80% of the business can you give the bit of color around pharma?
Dan O'Day: Sure I’ll give a little color around it. I think there is still a lot of moving parts as you can imagine at this time in the year. I mentioned the fact just on a base effect ‘14 to ‘15 we have approximately the same patent expiry to that deal with in ‘14 and ‘15 I would say. So that’s, if you like somewhat equal across the two. And of course we have some acquisitions to digest this year with InterMune I think the mix effect there as well on that product and then FMI to a certain extent. But overall I think we see good strong growth in the underlying business, continued strong growth of the oncology portfolio. We were successful obviously this past year in offsetting some of the patent expiry, I think we’ll continue with that next year. It’s probably about as much color I can give you right now, but clearly we’re focusing very keenly on what can we do on the operational leverage next year on the pharma side.
Severin Schwan: Dan, you want to continue with crenezumab.
Dan O'Day: On crenezumab, thanks for the question Sachin, I’m not going to give specific about the dose with crenezumab other than to say you’re right. We’ve started to explore a higher dose on this, we don’t, as you know from BLAZE, and ABBY we don’t have a direct dose response but if you just take if you like the indirect dose response between ABBY and subcu or at least exploring and want to see what is if you like the maximum tolerable dose for crenezumab, and that’s what tend to do right now, in addition to the discussions we have ongoing with the regulatory authorities and top leaders in assessing any impact we might have from the SCarlet RoAD data. But I don’t want to get specific about the actual dose because we’re basically pushing and testing at this stage. And then on FIR and Poplar, so FIR we do have in-house now, I mean that completed at the end of last year. Poplar we will be getting in-house this year soon. And I think that’s going to inform us a great deal on the entire second and third-line lung cancer program obviously and any impact they may have on the Oak analysis plan as well. But we’ll be able to update you clearly as the year goes on certainly at ASCO if not before, but ASCO for sure.
Alexandra Hauber: Alexandra Hauber from UBS. I’ve got three questions. Firstly, I read recently that GOYA results this year actually as the interim analysis which you said today as well. So the first question I’ll ask is do the 2017 timeline you provided for GADOLIN and GALLIUM also -- are they also based on interim analysis? And since you haven’t been able to find any design paper for GOYA? Can you just let us know what triggers the interim analysis whether the fact that you’re having some multiple looks is increasing the hurdle for this interim analysis to be positive? And the second question is there’s a number of compounds which have had pending Phase III GOYA divisions for some time about ipatasertib but also so polatuzumab and because already talked about crenezumab. Could you just talk to us what you really see is the key debottlenecking event for not necessary only for the Phase III decision, but for the Phase III start? And when those can start early as none of were on the 2015 Phase III start, so that ‘16 earliest? And the last question is, there was a fairly large 1.2 billion write-off in Tissue this year-end from reading the report it appears that this was -- the majority of that was for a near market project where you had to go back to the drawing board. Now that is fairly large write-off for Tissue given its current size. So could you just give us some color what this new market project might have been?
Severin Schwan: Roland you want to start, the Tissue Diagnostic question and then Dan for the other pharma questions.
Roland Diggelmann: Let me just start by saying that the Tissue Diagnostics business and you’ve seen the number is growing nicely, it was 10%, so we continue to see good momentum there. And we continue to be bullish on Tissue Diagnostics. So the impairment that was triggered is both on goodwill and intangible assets, it had basically two reasons. The first one was indeed a technology development that we’re reviewing at this stage that will come later to the market. We can’t give you any precise data at this point, but we believe that the technology will come later to the market. Now the other part of it is related to the FDA reimbursement cuts that were made to the pathology labs which eventually translate of course to the suppliers. You may have read these at the beginning of last year the announcement was made to reduce the reimbursement fee by 23% for some codes in histopathology, so that was the second part that triggered the impairment. So both technology plus market environment, but again very positive about the outlook for Tissue and the growth on Lucentis.
Dan O'Day: And Alexandra first starting with Gazyva program, I know the official dates have not changed relative to the final readouts. We’re flagging the interim readout on GOYA. We passed a variety of utility analysis as not just GOYA as you know, but also GALLIUM and GADOLIN. So I mean we’ll see what the interim readout is. I don’t want to build an expectation that for GOYA we necessarily have the final readout at the interim, but it’s clearly a possibility and that’s how we wanted to put that on the framework and GOYA much more so than some of the other two just because of the timing of those trials. I think those are still 17 readouts, but we do have interims and we’ll take a look at GADOLIN and GALLIUM most likely end of this year or early next year. And we’ll see how those progress as well, but GOYA is the one we wanted apply to you because it’s a one that has the interim this year.
Alexandra Hauber: So not reading it out now, is it ‘17 or in ‘16?
Dan O'Day: ‘16 for GOYA, ‘17 for GADOLIN and GALLIUM, the other dates that we have for that. And then finally I think you said I know you said polatuzumab and the question is what’s going on with some of those. I just want to put that into context because there’s a couple of programs like the PI3K inhibitors like 79b that we moved really quickly in the late stage, we did that for a couple of reasons because we saw encouraging signals and secondly because we wanted to advance both alone and in combination with other of our medicines. But not to give specific about all those programs, but we’re still in the process of looking in some cases at optimal dose for these products particularly when we combine them for instance 79b in combination with Gazyva, we’re trying to find the right dose the right tolerable dose. And therefore we haven’t flagged those as ‘15 starts per say in Phase III; we don’t rule it out completely. But we’ve tried to giving you guidance on the things that we have a relatively high level of certainty that are going to start in Phase III. But again, we’ll see how the year goes, we’ll see how the data reads out, we’ll see how we get through some of these dose ranging studies and we may be able to advance some things.
Severin Schwan: You also want to comment on crenezumab.
Dan O'Day: Crenezumab, what was the question on crenezumab?
Alexandra Hauber: Single question, on the dose lining again that’s probably ‘16 trend or ‘17 trend?
Dan O'Day: Well yes it depends I think we have started the dose escalation study right now, when I look at it is fully fledged dose finding. We’re trying to see if we can do it such that we would have kind of a ramp up on the dose escalation and potentially move into a label enabling trial that’s the discussions we’re having with the regulatory authorities, I want to say that’s complete or confirmed nor we made a final decision on crenezumab I want to say at this stage. But I think this running if you like which I recall more of a running on Phase II dose finding is going to be pretty instrumental to our decision making on this program as well.
Severin Schwan: Thank you. Can we have the next question Jo?
Jo Walton: Jo Walton, Credit Suisse. Just to get back to the leverage aspect, broadly speaking you’re showing about 5% top line and about 5% at the operating profit level as well. Most drug companies that were able to produce 5% of the top line are able to produce 7% or 8% at the operating profit level. They seem to have a core rate of cost growth and perhaps 2% to 3%, your basic cost growth just seems to be a bit higher from that. And I wondered if that’s something that you’re happy with and it’s just intrinsic to the way you are, and perhaps just R&D for you has got to grow faster or low, it didn’t particularly last year. So, I wondered if you could just discuss that a little bit. And two quick product questions. Mircera, are you planning to take that into the U.S. until this year? And Esbriet, in the EU, you’ve managed to change the label. Are there any countries where you’ve been able to get a more favorable price?
Severin Schwan: So, let me start off again with the operational level and trend and then Dan perhaps you can add to that and cover Mircera and Esbriet. I think what you have to consider for 2014 is that we’ve to digest the patent expiry of Xeloda. And you can imagine Xeloda is small molecule at the end of its lifecycle, 700 million cells, it’s pretty close to what you lose on the bottom line and to digest that and even grow sales and profit under the circumstances when we’re in the phase where we’re launching new products like Perjeta and Kadcyla. I think it speaks to the strength of the new products which are coming through here and replacing a product like Xeloda. What you should also keep in mind is that we had to digest InterMune acquisition, so sales start to ramp up into 2015 but of course we have launch cost and we have other cost still in 2015. So, the way we’re it’s that we’re very focused on innovation and growth but the way we are it’s also very much about productivity and making sure that we bring it to the bottom line. With this Dan?
Dan O'Day: I should emphasize the point Severin made, I think the mix effect is different when you’re trying to replace Xeloda product with launch price we have right now, the MMD investment, it has different cost structures like Kadcyla and Perjeta, it’s a different offset. And I just emphasize, I think in the mid-term we’re going to see good leverage on a product like Esbriet, small molecule I think low cost of goods. But clearly we want to get out to a very good start. So, as we look forward in 2015 we have significant investment in getting that product drive, I mean just to give you some examples on that. In addition in our U.S. marketplace as the portfolio is prepared now, we’re often investing a year to 1.5 years to two years in advance of a lunch product and we look at 2016 depending on how the portfolio goes, we could have several new launches in the U.S. marketplace including in new areas like Asthma, MS and therefore it requires some additional investments. So clearly we’re always looking at optimizing that. But I would emphasize Severin’s point on the product mix changing of course for next year as well. On the product front let me just quickly, Mircera in U.S. yes we do have an exclusive supplier agreement now to present this in the United States and that has begun, so that is an opportunity for us to leverage Mircera now in U.S. we’ll continue to leverage it ourselves outside of the U.S. And on Esbriet excellent point, on the pricing let me tell you, we will be more than happy to have discussions with reimbursement authorities throughout Europe. I think we have a very good package input now with Esbriet, you can imagine those are interesting discussions to have with reimbursement authorities. The current system, they’re very happy to take price discounts, so when you increase the indications or when something happens perhaps negatively with your product, we’re looking forward to having discussions that balance both I think value for what Esbriet brings to patients which is significant but making sure we still have good access to patients. So, I don’t have anything new to report you out but rest assured we’re working on it.